Operator: Good morning, and welcome to The Mosaic Company's Fourth Quarter and Full Year 2025 Earnings Conference Call. [Operator Instructions] Please note, this conference is being recorded. And now I'll turn it over to Jason Tremblay.
Jason Tremblay: Thank you, and welcome to our fourth quarter 2025 earnings call. Opening comments will be provided by Bruce Bodine, President and Chief Executive Officer. Luciano Siani Pires, Executive Vice President and Chief Financial Officer, will review financial results and capital allocation progress. We will then welcome Jenny Wang, Executive Vice President, Commercial, to join Bruce and Luciano as we open the floor for questions. We will be making forward-looking statements during this conference call. The statements include, but are not limited to, statements about future financial and operating results. They are based on management's beliefs and expectations as of today's date and are subject to significant risks and uncertainties. Actual results may differ materially from projected results. Factors that could cause actual results to differ materially from those in the forward-looking statements are included in our press release published yesterday and in our reports filed with the Securities and Exchange Commission. Please note in today's presentation and in our press release and performance data, we will refer to and provide various financial measures, including adjusted EBITDA, adjusted earnings per share, free cash flow, cost per tonne and adjusted effective tax rate, either on a total company or segment basis. Unless we specifically state otherwise, statements regarding these measures refer to our adjusted non-GAAP financial measures. Reconciliations of these measures to our most directly comparable GAAP financial measures can be found in our earnings release. Now I'd like to turn the call over to Bruce.
Bruce Bodine: Good morning. Thank you for joining our call. As we look back on 2025, I want to start by recognizing the work our teams delivered across Mosaic throughout the year. We asked a lot of our people, and they responded with tremendous effort. The other members of the executive team and I are grateful for their dedication. I will start today's call with a high-level review of the markets and our business. Then Luciano will provide some details on our financial expectations for 2026, and Jenny is here to address your market-related questions. Our key messages for today are: first, while the fourth quarter was weaker than we expected due to phosphate demand in the United States, U.S. demand is emerging as farmers prepare for spring planting in North America and global ag fundamentals are solid. Second, we are on track to improve phosphate production performance, and we have posted consistently good potash production throughout 2025. The work we have completed has restored our operational foundation and positioned Mosaic for a strong 2026. Third, we delivered meaningful cost and efficiency progress in 2025, and we have committed to achieve further reductions in 2026. Fourth, our extensive market access continues to provide a powerful platform for growth, especially in our Mosaic Biosciences business. And finally, in our capital allocation program, we have divested several noncore assets, Patos de Minas and Taquari as well as a pending transaction to sell Carlsbad that will allow us to focus attention and capital where it matters. Before I get into a more detailed review of the business and our outlook, I will turn to a high-level view of the market conditions and explain why despite the tough ending to 2025, our long-term outlook remains constructive. U.S. demand, especially for phosphate, fell sharply in the fourth quarter, pressured by affordability challenges and uncertainties surrounding government support. Recently, we have seen an increase in spring inquiries as growers look to nourish their soil, especially after last year's big crop and corresponding nutrient removal. As we enter the buying season across several key geographies, a compressed demand time frame is possible and could place additional strain on logistics capabilities. While overall North America potash and phosphate shipments declined in 2025, Mosaic's North America sales volumes proved more resilient, indicating we captured additional market share. Looking ahead, phosphate supply and demand dynamics are supportive as China continues to restrict exports to prioritize domestic demand and lithium iron phosphate battery demand continues to consume an even larger share of the world's phosphoric acid. Potash markets remain balanced with prices that appeal to the world's farmers and fertilizer producers alike. As we look at 2026, we expect global potash shipments to approach record levels driven by broad-based demand across most key geographies. And as a result, we expect to continue producing at high operating rates. While credit constraints remain a challenge in Brazil, expanding planted acreage and rising crop yields bode well for long-term Brazilian fertilizer demand. Demand also remains strong in other key growing regions of the world, including China and India. Now I'll move on to discuss our business and outlook. In phosphate, we delivered strong rock production last year with Florida reaching its highest level in three years and record mining production at Miski Mayo. Our top strategic priority in 2025 was to restore stability in our operations and normalize costs. While the recovery of our production volumes has taken longer than expected, we accomplished a great deal toward that goal. In our U.S. Phosphate business, we invested time and money across our assets to set ourselves up for reliably strong production, and we are seeing positive results. The key measure of our success is P2O5 output because acid gives us the ability to flex grades and products to meet demand and P2O5 production improved during the year. Our phosphate fertilizer production also rose through the year, and we expect consistently good production in 2026. We produced 1.7 million tonnes in the fourth quarter even with an extended turnaround at our Bartow facility as well as deliberate steps to adjust production amid soft U.S. demand. We are off to a strong start this year, and we expect to produce at least 7 million tonnes of phosphate in 2026. In potash, we are back at full operating rates at Esterhazy since the tragic fatality in December, and our HydroFloat project is ramping up. We expect to achieve record production at Esterhazy in 2026. International sales volume set a record last year, and we anticipate continuing strong demand in 2026. In fact, we expect to produce around 9 million tonnes of potash this year, a level similar to 2025, even after we complete the Carlsbad transaction. On the cost front, we are maintaining disciplined cost management through all market conditions. In 2025, we faced significant market volatility. When sulfur prices spiked at the end of the year, which we expect will significantly compress margins in our Phosphate and Mosaic Fertilizantes segments well into the first half of 2026, we moved quickly to protect margins and profitability. We have idled Araxa and Fospar in Brazil, our lowest margin operations until further notice. Turning to managing our controllable costs and driving operating efficiency. We made excellent progress on this front last year. We executed our mine optimization plan, improved our fixed labor costs, consolidated suppliers where possible and managed corporate costs well. Our business in Brazil was a standout, delivering cost improvements through increased mine production and the elimination of high-cost imported rock. In fact, rock output in Brazil reached near record levels in 2025. In phosphate, we began to reverse the cost pressures that arose from extensive maintenance activities in the first half of the year. Fourth quarter cash cost of conversion was $112 per tonne, which is an improvement of approximately $20 per tonne compared with a high watermark earlier in the year. This improvement is structural, not one-off. In potash, our cash cost of production averaged $75 per tonne in 2025 and would have been within our Analyst Day target range, if not for the extension of Colonsay, which carries higher costs. At Mosaic Fertilizantes, blended rock cost per tonne reached $97, the lowest level since 2021. We achieved our $150 million cost savings objective ahead of schedule in 2025. As we enter the new year, we are advancing a broad set of technology-enabled initiatives to drive the next wave of efficiencies from optimizing supply chains in North America and Brazil to improving how we manage contracts and vendors to enhancing productivity. These efforts have positioned us to deliver another $100 million in savings in 2026. Our other strategic pillars are leveraging our market access and redefining our growth. And here, too, we have made important strides. In 2025, we expanded our Brazil distribution capacity with the completion of a 1 million tonne blending facility in Palmeirante in the fast-growing agriculture region in Northern Brazil. The facility positions us to better serve customers in the area and to meet rising demand as credit conditions normalize. One of our most promising growth stories is Mosaic Biosciences. Our global market access, the strength of our brand and our long-term customer relationships provide significant strategic advantages for us. We launched five new products in 2025 and expanded commercialization in the Americas, China and India. Mosaic Biosciences is capitalizing on previous investments in R&D by expanding registrations of current products to our core markets and new geographies, now reaching 60-plus registrations and selling into 16 countries. The business consistently delivers stable gross margins in the 40s and future product launches should provide a pathway to higher margins over time. In 2025, Mosaic Biosciences doubled net sales to $68 million. Looking ahead to 2026, our expectation of continued adoption across our current portfolio, along with 8 to 10 anticipated new product launches positions us to achieve another year of doubling net sales. Mosaic Biosciences is delivering on the promise we saw from the start. It has become a truly scalable growth platform. The final element of our strategy is reallocating capital in pursuit of stronger returns. We continue to reshape our portfolio and strengthen our financial foundation last year. On the capital reallocation front, the transactions announced in 2025, including Carlsbad, are expected to generate approximately $170 million in proceeds over time and also allow for a reduction of $60 million in asset retirement obligations. More importantly, we will avoid significant capital expenditures that these assets would have required. While the proceeds from the transactions announced last year are modest, this continues the process that began three years ago and has already generated significant value. As an example, our position in Ma'aden equity is currently valued at about $2.1 billion. Looking ahead to 2026, we expect progress on multiple fronts. We're pursuing strategic alternatives for selected Brazilian assets, including unlocking incremental value from co-products, niobium and other critical minerals. We also expect to generate value through monetization of some of our Florida land holdings. A note on capital expenditures. We expect CapEx in 2026 to come in around $1.5 billion, higher than 2025 due to mine, gyp stack and clay settling area expansions in Florida. At the same time, cash spending on asset retirement obligations and environmental reserves are expected to decline by roughly $50 million, partially offsetting the increase as much of our closure work, particularly at Plant City is complete. Looking further ahead, we continue to expect capital expenditures to trend down, reaching approximately $1 billion by 2030, with ARO and environmental reserve cash spending also declining to about $200 million by 2030. Now I'll turn the call over to Luciano. Luciano?
Luciano Pires: Thank you, Bruce. Good morning, everyone. 2025 was a challenging year for Mosaic from a cash flow perspective. Inventory builds in both finished products and raw materials weighted on cash flow for much of the year and intensified as demand weakened significantly in the fourth quarter. The impact was significant. Working capital reduced cash flow by $960 million for the year and contributed to an $829 million increase in net debt. The buildup in working capital changed our plans for the balance sheet. In November 2025, we successfully raised $900 million through three-year and five-year notes. While the original intent was to refinance a portion of the 2027 maturity, the fourth quarter demand downturn and the resulting increase in debt led us to reassess and to redirect the proceeds towards retiring short-term commercial paper. Our next maturity isn't until the end of 2027, and we continue to monitor markets for opportunity. Looking forward, how do we see '26 cash flows, debt and shareholder returns. In the near term, cash flow remains constrained by lower EBITDA. a result of the sharp increase in sulfur prices since December. Phosphate stripping margins are under pressure. Every $10 increase in sulfur prices adds approximately $10 million of quarterly expense. Compared with the prior year first quarter, we thus expect a roughly $250 million headwind to Q1 '26 EBITDA. This margin pressure also led us to idle Araxa and Fospar in Brazil until further notice. And given the uncertainty surrounding our production plans in Brazil, we're not providing full year 2026 Mosaic Fertilizantes sales volumes guidance. But we expect cash flow to improve progressively as the year unfolds. We expect our own phosphate production to improve, supporting better fixed cost absorption and higher profitability on incremental volumes. Phosphate prices are rebounding from recent lows in Brazil, and working capital release is expected to drive a significant cash flow uplift this year. On working capital, we exited 2025 with about 240,000 tonnes of excess inventory in phosphates versus the prior year. At current inventory values, this represents roughly $140 million of potential working capital release over the next few quarters from demand recovery alone. While the typical seasonal inventory build in Mosaic Fertilizantes will offset part of this capital release in the first quarter, it will set up a more pronounced working capital benefit in the second and third quarters. But beyond demand recovery, higher phosphate production provides another source of working capital release as we currently hold excess phosphate rock and stockpiles. In addition, movements in sulfur and ammonia could provide some relief. And taken together, we believe a $300 million to $500 million working capital release is highly possible, supporting meaningfully higher cash flow generation in 2026. EBITDA to cash flow from operations conversion rate reached a low point in the mid-30s range in 2025 versus a more normalized level of 70%. As working capital unwinds, we expect a meaningful improvement in this conversion rate. Now how should we think about capital allocation in 2026? We will continue to invest in our business. Capital expenditures are expected to be higher in 2026 than in 2025, driven primarily by required investment in new gyp stacks at multiple sites. The positive offset, though, is that asset retirement obligations and environmental reserve spending is expected to trend down. Taken together, as Bruce mentioned, total cash outlays for CapEx, ARO and environmental reserves are expected to be modestly higher than the prior year. This is a way of thinking that we suggest you to adopt going forward as ARO and environmental reserve spending will trend down for the next few years. We continue to see opportunities to reduce CapEx towards $1 billion by the end of the decade with ARO and environmental reserves steadily edging down to approximately $200 million. Overall, we expect to generate free cash flow after CapEx and other cash spend above the minimum dividend in 2026. This will allow us to prioritize debt reduction and subsequently pave the way to resume extraordinary returns to shareholders. I'll stop here and turn the call back to the operator for questions and answers.
Operator: [Operator Instructions] And today's first question comes from Duffy Fisher at Goldman Sachs.
Patrick Fischer: First question is just on phosphate or DAP. Can you triangulate what you're thinking? I mean, obviously, Q4, you're telling us that pricing was too high and farmers kind of balked at that. Pricing has come down now, but so have your margins pretty significantly in a relatively tight market, you'd argue you should be able to get margin expansion. So do you think you'll be able to price for that higher sulfur as we go through this planting season? And if you do, do you think farmers will actually buy? Or will they forgo DAP applications this year? Or do you think they just pushed it to the spring?
Bruce Bodine: Duffy, thanks for the question. So, on DAP, definitely recognize that affordability for the farmers is still challenged, although better. And I say we see that improving in 2026 versus 2025, just given the dynamics on the ag commodity side. But to your point about pass-through on sulfur price, I don't know that we'll be able to pass through as much as maybe historically in a tight market given the affordability issues. But we do see, at least for us, anything above a stripping margin above $300, we still see very constructive being in the middle of the cost curve. And that's kind of how we're looking at that. So it will be interesting to watch what happens to sulfur coming out of Q1. We do see things looking to improve. I don't think that sulfur will revert back to some three-year-old, two-year-old number with a one handle or two handle on it. But we do see sulfur getting better, which should help on stripping margins. And then in addition to how we're thinking about that is that the more we push on getting to our full capacity on phosphate fertilizer production, it's just going to continue to expand with that fixed cost absorption, our margin to insulate us even more from some of the uncontrollables on the raw material side. So, farmer affordability, I think, is going to cover it. How much we can pass through, there probably is a limit. But we've got still a lot of room to go before we feel a lot of pressure on margin -- stripping margin standpoint for profitability around phosphate. I don't know, Jenny, any comments to it?
Jenny Wang: Yes. I probably just want to add one point, Bruce. DAP price in North America, especially in the U.S. market has been pretty stable, and that is basically impacted by the farm affordability issues very acute in the U.S. market. If you look at the international market, we see very different dynamics. And you have major DAP consuming countries between China and India. And these two countries, the government basically subsidized their farmers. Therefore, we are seeing the price increases over the last five weeks for DAP in the international market. In fact, today, international market price for DAP netback is actually at higher -- at a premium than the NOLA price. So I understand the concerns on affordability. This is probably more severe in the U.S. market than the rest of the world.
Bruce Bodine: Yes. I think that's a great point, Jenny, for everyone is the international market is a little bit disconnected from an affordability and constructiveness standpoint than maybe just the U.S. which is great given our distribution access, we will pivot as necessary to take advantage of that.
Operator: And our next question today comes from Chris Parkinson of Wolfe Research.
Christopher Parkinson: Bruce, when we take a step back and we just look at 2026 versus your Capital Markets Day expectations in terms of turnarounds, can you just kind of give us a walk-through of the phosphate production or asset portfolio, where we were, where we kind of were trending towards the end of the fourth quarter and where you expect to be in '26. You're back down to $112 in terms of conversion costs. How should we think about that as it relates to your greater than 7 million tonne production guidance for '26?
Bruce Bodine: Yes, Chris, thanks for the question. I think our guide is based on -- and we talked about this the last quarter, kind of trailing demonstrated. But by no means does that mean that is where the status is going forward. So I can see where there's some disconnect and confusion, and Chris, and I'm happy to try to give you some color. So, in fourth quarter -- well, first, let me back up. To get to kind of the 8 million tonne rate, you need an operating factor of 80 -- low 80s, 81% of our overall fertilizer assets in North America. We were there in Bartow for much of 2025. We got there in Louisiana in the fourth quarter. We were in the mid-70s at Riverview in the fourth quarter. New Wales was a little behind with some issues that they were facing, still working through some operating consistency. As we've moved into -- so good quarter, saw improvements, particularly on P2O5 production from quarter 3 to quarter 4, and we're continuing to see that going into quarter 1. Bartow continues to run at its plus 80% operating factor. Louisiana is running also at that 80% threshold. Riverview is also approaching that 80%. So when you look at those three facilities in aggregate, kind of already at kind of that 80% operating factor, and we're seeing more and more days strung together at all facilities where they're at or above kind of that ultimate aspiration that we want to get back to. New Wales is in a turnaround as we speak. And we expect as they come out of turnaround into quarter 2 that they will be approaching that 80%. And again, New Wales is our biggest facility at 3 million tonnes of granular capacity. So we expect in the first half of the year to get through some of these turnarounds. Bartow has no more turnarounds for the year. New Wales will get through this major turnaround. Riverview has a turnaround in second quarter of this year. We expect even coming out of that turnaround to be better than they have been. So we're feeling very optimistic about production in the back half of the year. Hence, we said 7 plus, 7 is kind of where we've been over the last two quarters, but we see some upside, Chris, to your point. Luciano has got something to say.
Luciano Pires: Yes. May I comment on the cost side. The $112 per tonne in phosphates is where it should be given the current production volumes. The $131 of Q3 was actually very abnormal because of lots of repairs done outside of turnarounds. And the rule of thumb is every 100,000 tonnes per quarter should represent kind of a $7 to $8 decline through cost absorption on this $112. So therefore, if the path from 1.7 to 2.0 would imply kind of between $20 and $25 per tonne decline over current levels of phosphate conversion costs.
Bruce Bodine: Yes. So, Chris, we remain confident in our ultimate objective we talked about in Analyst Day, both on volume and cost to Luciano's point, getting below $100 conversion cost. And then we're continuing to focus on some of the last things of talent and training, discipline around our operations management system, better asset predictive maintenance and analytics, which continue to take us kind of to that next frontier.
Operator: And our next question today comes from Jeff Zekauskas with JPMorgan.
Jeffrey Zekauskas: I can see where your capital expenditures comes through your cash flow statement. Where does your ARO and environmental reserves cash spend come through? Is that part of operations? Or is that a capital cost, the $400 million in cash spend you talked about $408 million?
Bruce Bodine: Thanks, Jeff. I'm just going to put this over right to Luciano. He's got that.
Luciano Pires: Jeff, it actually is spread around a few lines. There's a little bit that comes through -- it all comes through the operational part of cash flows, nothing on the capital expenditures, but it's in between a few lines. You have accrued liabilities. For example, the current portion of ARO, when you spend on that, you decline accrued liabilities. You have a little bit on the net income line itself, the part of -- that offsets the accretion expenses. So it's a little complicated, but it's in the operational part of the cash flow statement.
Operator: And our next question today comes from Vincent Andrews at Morgan Stanley.
Vincent Andrews: Just to follow up on the CapEx, maybe the inventory a little bit. I think the Street had CapEx coming down about $300 million from '25 to '26. So I know you called out why it's going up. But could you talk about sort of what changed and what triggered the need to do this in '26 and your confidence that this will not leak into '27 and beyond? And then secondarily, you called out on the inventory line that you have excess phosphate rock inventory. So I'd just be curious if you could help us understand, is that because you thought you were going to produce more last year. So you bought excess rock where you thought rock prices were going to go up, so you bought ahead of that increase. Just trying to understand how you're going to work that number down.
Bruce Bodine: Vincent, no, thanks for the question. On CapEx, as Luciano and I talked about, we had an interesting confluence this year of a number of waste disposal projects in gyp stacks and clay settling areas and tailings dam in Brazil as well that have all kind of hit from a timing standpoint at the same time. That is unusual. But I would tell you that the $1.5 billion that we've said is, I would say, is really the ceiling. We probably see that as a worst-case outcome and actually have some upside to that. But just to give you an example, you don't know exactly how much a gyp stack, for example, is going to cost until you do some of the ground survey work. And then you find that out and have to tweak the estimates. So those are type of things that happen. It's just clarification of what those waste costs are and then the timing of those given the exhaustion of existing capacity. So we have a gypsum stack at New Wales, a gypsum stack at Bartow, a gypsum stack in Louisiana, all happening in 2026. We have a tailings dam at Tapira, and then we have two clay settling areas, one winding down and another one being built at Four Corners. The good news is, is once you get beyond these, and that's why we have confidence that this number will come down in time, you don't build another gyp stack for another 4, 6, 8, even 16 years depending on the facility. And then clay settling areas last anywhere from two to five years. So these are lumpy when they do come through. It's unfortunate that they've all lined up together. It's not by choice, it's by necessity. And then once we're through this, we're very confident that the tail down to $1 billion towards the end of the decade is definitely possible. On the rock side, just a little bit, we don't buy rock on the external market like maybe other nonintegrated producers do. Our production of rock, I'm not going to say it's decoupled from the consumption, but there are largely two processes and then you manage rock production, rock inventory because we have millions of tonnes of available storage for rock inventory to kind of manage through the near term, the next two to three years. But given that production on the fertilizer side, with all the work that went into asset reliability in the first half and into the second half of the year, actually, we didn't consume as much. We built some of that rock inventory. But as I just talked about with two questions ago, we're seeing very good run rates. We'll start to more balance that out and actually start to reduce that rock inventory as we pull through more of that into finished goods. Luciano, do you want to add something?
Luciano Pires: There's a slide on the presentation that shows a $346 million increase in raw materials. That includes both sulfur ammonia and also the rock inventories work in process. And it's about half and half the increase. So the potential is with increased production rates to release that roughly $170 million, $180 million of excess rock inventory.
Bruce Bodine: And the other thing that inventory allows us to do on the rock side, particularly in Florida, is as we move into new areas, which we're going through a major area relocation right now at South Fort Meade, it gives us even some buffer to make sure that we don't run out of rock or the ability to blend our rock for consistency to our acid facilities. So it serves that purpose as well, Vincent.
Operator: And our next question today comes from Lucas Beaumont with UBS.
Lucas Beaumont: Just going to [ Fertilizantes ]. I just wanted to kind of ask about the volume outlook there. So you guys talked about the continued kind of challenges on the credit issues in Brazil and that your first quarter volumes are going to be down year-on-year. So if we assume that means maybe sort of 1.7 million tonnes or so and then your phosphate production is curtailed at least through sort of the first half with the cost challenges there. I mean that probably gets us to something flattish around 9 million tonnes for the year again. So, I mean, last year, coming into the year, you guys were sort of looking at 10 million to 10.8 million tonnes in volumes. You've added the capacity there. So you clearly have room to grow. So, I guess, could you just kind of help us frame how should we think about the volume outlook there for 2026? And then how we should sort of see your leverage to the upside to grow going forward?
Bruce Bodine: Yes, Lucas, I appreciate the question. I'm going to ask Jenny to talk a little bit about the market side of Brazil. But we are still very much a believer in being in Brazil. As we've talked about before, we've been there for well over two decades and know how to navigate in that environment. The credit issues that are being faced in Brazil have caused headwinds to the type of market capture that we were hoping for when we put those 10.8 kind of million tonne numbers out there to not take risk in what you see maybe with some of our competitors have experienced, we have not had as much problems there. So we've taken a more conservative approach, but we do have as you've said, that kind of buffer to grow as the market rebounds and more stabilizes, not only in our existing facilities, but to your point, our new Palmeirante facility as well. So, Jenny, maybe you want to talk about how the market looks in '26 and then even beyond.
Jenny Wang: Sure. Thanks. The market has been, as everyone knows, challenged by the high interest rate and the credit issues. We have really seen some major shift in the industry, both at the retailer side and also at the farmer side. The number of the filing of Chapter 11, the U.S. equivalent of Chapter 11 cases have increased over the last two years. The positive part of those challenges are the consolidations started to happen as well, both at the retailer side and also at the grower side. For 2026, we foresee this is going to be a challenging year as we go through this process. Therefore, if you think about the overall fertilizer shipment in the country, we may see some uncertainties, which, a, related to the farm economics and affordability; b, probably also related to the supply availability, especially on phosphate with the restriction of the Chinese export. So overall market is likely going to be flat and our own distribution volume, we will make a prudent decision on how much we want to sell, which customers we want to sell. We are not going to take credit risk, and we're not going to compete in the market where the business quality is not really good. Lastly, I would say, last year was a significant application of low-quality phosphate and key products out of China. And we have started to see the official report on the yield impact. And if there's any further under application of fertilizer in the current crop year, the ongoing safrinha corn or the coming sur season, the Brazilian farmers will have a very clear decision to make on what application rate they need to manage. So, in midterm, we are very optimistic to this market. Brazil is growing, it's expanding and yield is very important for the farmers. But before the market turned high, we need to manage through this process, especially in this year.
Bruce Bodine: Lucas, I'm going to ask Luciano to talk a little bit on the cost side and the resiliency of kind of Fertilizantes from an interesting perspective. But no doubt, the raw material prices have provided some headwinds in that business, and we've made some moves. We're going to watch that closely before we decide on what to do next for maximizing shareholder value. And a lot of that depends on what happens with sulfur price and what happens with fertilizer price. And probably, hence, why we didn't guide in this regard is there's a lot to unfold in the next, say, month to 3 months for us to watch to get more comfortable on how things are going to come out. But regardless of that, I think it's worth Luciano talking about kind of the financial performance of that business.
Luciano Pires: Yes, there has been some reactions notes with some disappointment about the performance of design in the fourth quarter. But I'd like to offer a different perspective. So because of high sulfur prices, we actually curtailed production. We removed 30% of our SSP production in Brazil. We also put our major site in turnaround, which was Uberaba. We anticipated a turnaround. We're not expecting. So it became stopped for -- so we produced significantly less. Our distribution margins because of the credit issues, they narrowed quite significantly. Sales dropped precipitously at the end of the quarter. And with all of that, still the business generated almost $50 million on EBITDA. And so that would be, I would say, a phenomenal performance for the set of circumstances that we faced and that we actually decided to impose to the business in the fourth quarter. So the platform is there. And as soon as the market conditions improve, you're going to see results rebounding pretty quickly.
Operator: And our next question comes from Andrew Wong at RBC Capital Markets.
Andrew Wong: I just had a couple of questions on the U.S. First, on the phosphate demand, it's been down pretty significantly for the past four years, but yields, the crop yields have still been pretty strong. So what should we take away from that dynamic? Are the just extremely, extremely depleted? Have farmers just been really efficient with applications? And then secondly, on the U.S. countervailing duties, I think that's up for review this year. Can you just go over that process? And how does the current high-priced phosphate market affect that review?
Bruce Bodine: Thanks, Andrew, for your question. Let me start with your latter one, and then I'm going to turn it over to Jenny to talk about the lower phosphate in North America and any yield impacts or response to answer the first part of your question. On the countervailing duties, there really is no correlation to that on the process itself. But this process this year enters into its sunset review, which will kick off in April. And we're evaluating our needs to participate in that process as we speak. So a lot more to come there. And just to remind, as that process unfolds, duties do stay in place until an ultimate decision is made on the countervailing duties from the sunset review. I'll turn that over to Jenny now to talk about yields in North America.
Jenny Wang: Sure, Andrew. We just want to remind ourselves on the shipment of phosphate in North America. Basically, the changes is really in the U.S. market. That was down to below 9 million tonnes in 2022, recovered in '23 to 10 million tonnes, '24, 10 million tonnes. And then we see a major drop last year, 8.5 million tonnes. So whether we should see yield impact, it is going to come in from the coming season, the current season. So, last year, the drop of this 14%, 15% of shipment of phosphate in the North American market, majority of them happened in fall application, meaning that is the tonnes go to the field in this spring for the spring crop. So the yield impact likely going to -- if there are major impact, it is likely going to be the current crop, the crop going to be going into the field. I would also see, say, the precision ag has made a lot of farmers make their decisions on cutting rate in the same time, looking for products that they are able to improve the use efficiency where that is the biologicals coming in play. Biologicals like our PowerCoat and BioPath, are not able to increase the supply of phosphorus. But in the time in one year or two, when the rate is not going to be applied as high as normally they do, the efficiency effect will come into play. So, in short, whether we will see a yield impact in North America in the U.S., like we see in Brazil, it is going to be this crop, we will watch.
Operator: Our next question today comes from [ Evan McCall ] at BMO Capital Markets.
Unknown Analyst: Evan McCall on for Joel Jackson. Just wondering what changed with this 2 million per tonne -- 2 million per quarter phosphate. That was the expectation for now a year later at the end of the year targeting 1.7 to 1.8.
Operator: Evan, this is the operator. I apologize [indiscernible]
Bruce Bodine: Sorry, we did not understand the question, it was pretty garbled. I don't know if it's your connection or where you are. If you want to -- I don't know, drop and try to get back in.
Unknown Analyst: Okay.
Operator: [indiscernible] your question now, sir?
Unknown Analyst: Yes. Sorry about that. Just wondering what changed with the 2 million per tonne -- sorry, 2 million per quarter in phosphate and now the expectation is a bit lower at 1.7 million to 1.8 million tonnes a quarter. Is that just the turnaround in the first half and you'd expect to be higher after that? Or what are your thoughts on that?
Bruce Bodine: Yes. No, we -- as we've talked about in, I think, prior quarters where we started, our guide is going to be on actually demonstrated prior trailing three months, which means that there's likely upside to the numbers, Evan. But until we see them, we're just being more cautious on that as we probably got ahead of our skis in the past. So, by no means have we lost confidence. And I think, hopefully, the proof points that I gave earlier to, I think, the second question on where we are from an operating factor alludes to the progress that we are making and the confidence that we have in ultimately getting to that full utilization to hit 8 million tonnes.
Operator: And our next question today comes from Kristen Owen at Oppenheimer.
Kristen Owen: Two brief ones for me. First is on mix. Just given some of the netback comments that you made, Jenny, can you help us in terms of how you're thinking about product mix and geographic mix in 2026? And then my second question just relates to the working capital. Can you give us a sense of how much of that working capital is tied up in Brazil?
Bruce Bodine: Thanks, Kristen. I'll start with the working capital one and maybe turn it over to Luciano to give you a little more color on that one.
Luciano Pires: Okay. So we're thinking about a release of $300 million to $500 million through a combination of factors through some release of rock inventories, the sales above production in the faucet business, Brazil as well, which ended up with slowed down sales at the end of the quarter. And therefore, we had to pay a lot of accounts payable for purchased nutrients that we didn't repurchase. So that dragged down working capital as well. So all these factors with normalization of demand should -- and production should come down. And our estimate is $300 million to $500 million of contribution for cash flow this year.
Bruce Bodine: And then, Kristen, on product mix and geographic mix, I'm just going to turn it over to Jenny to give you the latest thoughts on that.
Jenny Wang: Kristen, I think your question probably more towards to phosphate. Usually, our phosphate production goes around 55% to 60% stay in North America and the rest for the export market. This year, we are going to watch the market trend and demand very closely, especially in the U.S. market. I wouldn't be surprised to see increased sales of phosphate to the international market and the less percentage in North America. It is really market demand driven.
Bruce Bodine: And I think, Kristen, what's driving that to Jenny's point, is how disciplined China stays to their export constraints. If it goes beyond the first half of the year, there may be even more opportunities on the international side. But we are getting reach out from customers who are traditionally may be served more by the Chinese export market looking for tonnes. And I think it's important to understand that from our view anyway, that the phosphate market is a supply-constrained market. So, people are out there, particularly in India, Southeast Asia, looking for tonnes that would otherwise more traditionally have been supplied through China. And given their discipline and policy announcements, there could be meaningful reduction again this year on exports available from China.
Luciano Pires: And one of the reasons why the corporate segment is actually improving performance is because of our sales through China and India, which are accounted for in that segment. So there's increased contribution, EBITDA contribution, but within the corporate segment, which is the negative amount is declining.
Operator: Our next question today comes from Benjamin Theurer with Barclays.
Rahi Parikh: This is Rahi on for Ben. So just a couple of questions. From the $300 per tonne in sulfur cost in your cost of goods sold in 4Q and the benchmark levels hitting about $500 in late last quarter, is it reasonable to assume some average around $400 per metric ton for sulfur cost in 1Q? Or would this boost automatically, you think already in 1Q to $500 per metric ton for sulfur? And then also for Fertilizantes, is the $50 million EBITDA the go forward per quarter if production stays curtailed?
Bruce Bodine: Thanks for your question. Let's start with your first one, sulfur. I'll probably ask Jenny to weigh in on this as well. But that sulfur price, as you've well noted, does flow through inventory. We do see in our current forecast, but more to come through that sulfur will moderate in price as the year goes on. But sulfur and COGS through quarter 1 to quarter 2 may actually increase as that higher cost sulfur that we negotiated in quarter 1 flows through inventory. Jenny, anything to add to that? And then on the second part of the question, what was the second part? I'll turn it over to Luciano. Sorry. $50 million is not -- I mean there's a lot of factors that go into quarter-by-quarter EBITDA. One is product mix. Seasonally, quarter 4, quarter 1 are always kind of low just given product mix, more nitrogen products and volume less on -- lower volume, less on our performance products like Mosaic Fertilizantes, which pull through a margin premium as an example. So there's a lot of things that depend on that. But $50 million is not the new normal.
Luciano Pires: Yes, it's definitely going to be better than that, first and foremost, because Uberaba coming back and normalizing its level of production will uplift this. And we should expand our distribution margins as well. So we should expect a much higher EBITDA on a quarterly basis going forward. The wildcard is continued to be Araxa, which right now is idle. And currently, the expenditures are hitting -- although we are saving on CapEx and other things, the expenditures are continuing to hit EBITDA at a rate of around $10 million per month. But yes, but still with that, performance should improve.
Operator: Our next question today comes from Edlain Rodriguez with Mizuho.
Edlain Rodriguez: I mean this is a question for Jenny. So we saw the demand deferral or destruction in phosphates in Q4. Like are you surprised that farmers took a holiday in phosphate, but not on potash, especially given the two mineral fertilizers tend to be applied in tandem.
Bruce Bodine: Yes. Go ahead, Jenny.
Jenny Wang: Yes. I guess your question is probably more referred to U.S.
Edlain Rodriguez: Yes.
Jenny Wang: Am I surprised to the demand destruction on phosphate? I would say when we had this earnings call back in October for Q4, we did mention there were some uncertainties on the demand in Q4 on both phosphate and potash. One is related to when the U.S. government payment is going to be made. And the second part is really weather. Eventually, the weather didn't really come through that basically cut off some of the applications, which could have been in November and December. The demand destruction on phosphate are far greater than potash big part of the reason is potash affordability. The price are much more affordable than phosphate and nitrogen. Last question that you asked, that was a very interesting one because I thought the same. The U.S. farmers, they wouldn't go to the field only put down potash without getting nitrogen and phosphate in and indeed happened in December and in November. Some of the farmers, they basically -- they decided to wait until phosphate price getting reset, which, of course, we all know it is unlikely going to happen given the tight supply situation. But yes, indeed, there are farmers, they went to the field for potash application without phosphate. It is not very common.
Operator: Our next question today comes from David Symonds at BNP Paribas.
David Symonds: Just a couple of modeling ones left. So you mentioned that Faustina will be 50% more available in 2026 than it was in '25. I don't know how low we got in 2025, but can you just confirm if you did 7 million tonnes of phosphate production, how much of that is -- or how much of your ammonia requirement is served by Faustina in 2026? And then the second one, I'm not totally clear how you accounted for the increased value of your sulfur inventory. So could you just tell me, was there an inventory gain in your EBITDA, in your adjusted EBITDA in the phosphate business for the increase in the sulfur value?
Bruce Bodine: Yes. On the ammonia one, just to confirm, David, we will -- given the turnaround we just did in quarter 4, and the upgrades that we've made at that facility. We expect 50% -- up to 50% more production out of that facility going into 2026 now that it's up and running. That will consume a larger percentage of our portfolio as consumed -- as produced ammonia. And that is going to be 35% to 40% of the portfolio versus much less than that, which we would have been exposed to market on. So the biggest component still remains kind of our strategic contracts, which are cost-based-ish. Then we've got 35% to 40% at times, maybe a little bit more from Faustina. Not only will Faustina consume its own ammonia fully, we'll have enough to ship into the Florida system. And then we'll be much less exposed with the remainder to spot.
Luciano Pires: David, so there's absolutely no revaluation of inventory. There are no gains recorded on the EBITDA. The reason why prices affect inventory is mostly in Brazil because in Brazil, you have purchased nutrients. So if prices go up, you need to pay higher prices, and therefore, your inventory is recorded at a higher value. But in North America, which is everything is produced, inventory is recorded at cost of production and is not revalued, and there's no gain or loss.
Operator: And our final question today comes from Mike Sison with Wells Fargo.
Michael Sison: Just one quick one. You all said there was a $250 headwind in the first quarter given where stripping margins are at. If on Slide 14, the February '26 metrics don't change, is that a similar headwind for the rest of the quarters? And I understand sulfur is supposed to come down, hopefully. And any sensitivity on how that $250 goes away and what the important variables are as the year unfolds?
Bruce Bodine: Yes. Thanks, Mike. Obviously, if sulfur price persists at that level, the component of margin erosion or to the stripping margin erosion for that sulfur would play would stay constant. We also see ammonia prices coming down throughout '26 as well. So there is some offset to that. And then ultimately depends on what we talked about earlier in the call is how much can be passed through on price and what ultimately happens with price to the realization on stripping margin. The other benefit that we will see is we'll see better -- from '25 to '26, better turnaround and idle cost. And we'll also see, as production improves, better fixed cost absorption on conversion cost that will buffer out some of that time. So not all is static. There's a lot of moving parts, but those are the variables -- the key variables that go into that. Luciano, anything else to add?
Luciano Pires: Yes. So realized stripping margins in the fourth quarter were $444 per tonne. And so if you correct for the current sulfur prices compared to the $306 that was recorded in the fourth quarter, you would have somehow $400 per tonne of stripping margins. And so what would be the impact to the bottom line? So just to give you an example, today, at $444, the EBITDA margin per tonne was $108. That per se suggests if you just take $444 less $108 that $330 would have been the breakeven point at Q4. However, there's about a $50 penalty just because of turnaround expenses and other SG&A expenses divided by a very small sales volume. So I would say these two lines are kind of $50 above what they should be. So that puts us at $280 breakeven. And if you add the cost dilution that we expect in going for 8 million tonnes, like we should be around $250 per tonne of 3P margin breakeven. So in a normalized world at a $400 3P margin, we should be making $150 per tonne approximately. Just a ballpark for you to reason around the phosphate performance.
Operator: That concludes our question-and-answer session. I'd like to turn the conference back over to Bruce Bodine for any closing remarks.
Bruce Bodine: Thank you, everyone, for joining us. To conclude our call, I'd like to reiterate our key messages for today. Clearly, the second half of 2025 was challenging for Mosaic and the agriculture business, especially in the U.S. We saw demand drop significantly as farmers dealt with tough economics and uncertainty around government payments. That said, our outlook for 2026 is positive, in part because demand is emerging in the U.S. and remains strong in other key areas of the world, but also because of the progress we've made to strengthen Mosaic. We're on track to improve phosphate production, and we expect a strong year for potash production. We've made good progress on cost and efficiency, and we expect further strides this year. Our Mosaic Biosciences platform is growing quickly and holds meaningful promise for the future. And our capital allocation program continues to produce results with several divestitures of noncore assets in 2025. So, overall, Mosaic is well positioned to weather the storm and deliver strong earnings as business conditions improve. Thank you very much, and have a safe day.
Operator: Thank you. That concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.